Operator: Ladies and gentlemen, thank you for standing by, and welcome to the MFA Financial Inc. Fourth Quarter Earnings Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] And also as a reminder, today's teleconference is being recorded. And at this time, I would like to turn the conference to your host Mr. Hal Schwartz. Please go ahead.
Hal Schwartz: Thank you, operator. Good morning, everyone. The information discussed on this conference call today may contain or refer to forward-looking statements regarding MFA Financial, Inc., which reflect management's beliefs, expectations and assumptions as to MFA's future performance and operations. When used, statements that are not historical in nature, including those containing words such as will, believe, expect, anticipate, estimate, should, could, would or similar expressions are intended to identify forward-looking statements. All forward-looking statements speak only as of the date on which they are made. These types of statements are subject to various known and unknown risks, uncertainties, assumptions and other factors, including those described in MFA's annual report on Form 10-K for the year ended December 31, 2017, and other reports that it may file from time to time with the SEC. These risks, uncertainties and other factors could cause MFA's actual results to differ materially from those projected, expressed or implied in any forward-looking statements it makes. For additional information regarding MFA's use of forward-looking statements, please see the relevant disclosure in the press release announcing MFA's fourth quarter 2018 financial results. Thank you for your time. I would now like to turn the call over to MFA's CEO and President, Craig Knutson.
Craig Knutson: Thank you, Hal. Good morning everyone. I'd like to thank you for your interest in and welcome you to MFA financials fourth quarter 2018 financial results webcast. With me today, are Steve Yarad, our CFO, Gudmundur Kristjansson and Bryan Wulfsohn, our Co-Chief Investment officers and other members of senior management. The fourth quarter of 2018 was a very challenging period for financial assets. Stocks rode a roller coaster particularly in December with daily swings in the Dow of 500 points or more for much of the last two weeks of the year, after dropping almost 2000 points in the four trading days preceding Christmas, down 650 on Christmas Eve alone, the Dow closed up over 1500 points in the final four trading days of the year. Bonds saw wild swings as well between November eight and year-end with 2s 5s and 10s rallying between 50 and 60 basis points. And finally, high yield widened by nearly 180 basis points, also between November 8 and year end. Levered investors in both agency mortgages and mortgage credit experienced significant value declines as these assets widened with corresponding book value reductions commensurate with the amount of leverage deployed. While not immune to these movements, MFA fared better than most of our peers with a modest book value decline of 4.2% due largely to our assets selection and low leverage. And while wider credit spreads negatively impacted pricing on our mortgage credit assets, this spread widening was very much a technical phenomenon and in no way a result of deteriorating credit or diminishing of projected cash flows, because some of our assets affected by this market volatility are accounted for at fair value price declines, and the corresponding unrealized losses on these assets during the quarter flow through income and drove GAAP income lower. As we look past back past the market turmoil that prevailed at the end of the year, we are extremely proud of our investment achievements in 2018. We made fantastic progress in our stated initiatives, in newly originated home loans, which we now refer to as purchased performing loans. These are Non-QM loans, fix and flip loans, single family rental and additionally a few pools of seasoned performing loans. During 2018, we grew this portfolio by over $2 billion as we capitalized on our efforts initiated beginning in early 2017. Our investment teams spent considerable time and energy to establish relationships with originator counter parties in order to source loan volume and this hard work is now bearing fruit as we've been able to acquire meaningful size of purchase performing loans particularly in the second half of 2018. MFA’s reputation as a reliable buyer of residential home loans and dependable capital partner has enabled us to source significant volume of home loans, including in some cases transactions with limited competition. Please turn to page three, MFA’s GAAP earnings per share was $0.13 in the fourth quarter as unrealized losses on fair value assets flowed through our income statement. The two primary drivers of this were CRTs about $0.04 per share an agency MBS together with swap hedges about $0.03 per share. We acquired over $5.7 billion of assets in 2018 growing our portfolio by approximately $2.2 billion. Needless to say, we successfully deployed the proceeds from our follow-on equity offering in August. We paid a Q4 dividend of $0.20 to common shareholders on January 31. This is the 21st consecutive quarter in which we paid a $0.20 dividend. Please turn to page four, fourth quarter investment activity was very strong as we purchased approximately $1.6 billion of assets and grew our portfolio by more than $550 million in the quarter. Over a billion of these purchases were whole loans and split approximately 70:30 between newly originated loans and non-performing loans. Our acquisition of Non-QM, fix and flip and single family rental loans again increased over the third quarter to approximately $700 million in Q4. The process of acquiring these assets is very different from that associated with our other asset classes as we generally purchase key loans directly from originators rather than from the street or through bulk offerings. Through our willingness and ability to explore various arrangements, including flow agreements, strategic alliances and minority equity investments, we’ve been able to partner with originators to source attractive new investments, while enabling them to grow with support from MSA as a reliable provider of capital. Please turn to page five. As we have stated previously, our expanding investments in newly originated loans or purchased performing loans is beginning to have a meaningful influence on our interest income. These loans are included in our loans held at carrying value on our balance sheet. Recall that we also include loans purchased as reperforming loans or purchase credit impaired loans in our loans held at carrying value on our balance sheet. For the year 2018, whole [ph] loans held at carrying value produced $101 million of interest income. This is versus $36 million in 2017. Notably, more than half of the $101 million of interest income in 2018, $56 million for the year was from purchased performing loans, and $27.5 million of this 56 for the year was in the fourth quarter alone. Now to put these numbers in perspective, our Legacy reperforming or purchase credit impaired whole loans generated a little over $11 million of interest income in each quarter of 2018 for an annual contribution of approximately $45 million. We would expect that this portfolio will continue to produce income at this approximate level in 2019. Now if we consider that the purchase performing whole loans generated 27.5 million of interest income in the fourth quarter, and we assume no net growth for these loan categories in 2019, this 27.5 million annualized is 110 million, which together with 45 million from reperforming loans is over 150 million of interest income from carrying value loans, an increase of 50 million or 50% over 2018. As we continue to grow our balance sheet, we will begin to add more leverage, particularly on our residential whole loan portfolio. Our debt-to-equity ratio increased slightly from 2.3 times to 2.6 times in the fourth quarter. We would expect this leverage ratio will continue to increase modestly as these whole loan assets can easily support leverage of three to four times whether through repo borrowing or securitizations. Through our credit sensitive whole loans, we've committed significant resources to our asset management efforts. We recognize that by immersing ourselves in the complicated and sometimes messy details of managing credit sensitive loans, that we can achieve better outcomes and improved returns, as good as our third party servicers are there's a tangible benefit to direct oversight and involvement in decision making. And finally, our legacy non-agency portfolio continues to perform well, and contribute materially to our financial results, generating a yield in the most recent quarter of 10.65%. Please turn to page six. To summarize our strategy and initiatives for 2019, we expect to continue to increase our investments in purchase performing loans specifically, Non-QM, fix and flip and single family rental. When and if we are able to grow our other existing asset classes at attractive levels, we will obviously continue to do so. And as always, we are constantly evaluating new investment opportunities. Given our track record, we are usually among the first to see new opportunities as we have demonstrated the ability and willingness to help structure these deals and invest in size. We’ll likely continue to execute strategic sales of Legacy, Non-Agency MBS. This is part of managing a mature portfolio and includes sales of bonds at relatively high prices with little additional upside, sales of callable bonds at a premium, and sales of low loan count or odd lot position sizes at attractive round lot levels. We've managed our CRT portfolio by selling many of the seasoned securities that are trading at very tight spreads and high dollar prices. In most cases, over 110, in favor of newer deals with wider spreads and prices closer to par. Notably the new REMIC structure CRTs which we expect to see more of in the future will not be accounted for at fair value, but will be treated as available for sale assets. And finally, we'll look to optimize our capital structure through the use of additional leverage, including securitizations. That said, our leverage will likely still be at the lowest in the peer group. Please turn to page seven. Recent developments and communication from the Fed have significantly altered expectations of future Fed action and interest rates. For levered investors, a more dovish Fed posture is obviously encouraging. Recent headlines advertising a housing slump are in our opinion somewhat misleading. While transaction volume is down, this is largely attributed to affordability issues, which is caused by higher prices and lack of inventory. So while lower transaction volume may be bad for real estate brokers, it's not necessarily bad for holders of credit sensitive mortgage assets. There's a nationwide home supply shortage given simply the level of household formation and the persistent low supply of new homes. While affordability is down from its most affordable levels seen in 2011 and 2012, it is still at pre crisis normal levels last observed in 2000 to 2003. And now I’ll turn the call over to Steve Yarad who will provide further details on the financial results for the most recent quarter.
Steve Yarad: Thanks, Craig. For the fourth quarter of 2019, MSA’s net income to common shareholders was $57.1 million or $0.13 per share. As Craig noted, while we continue to make solid progress in growing our residential mortgage portfolio, including through purchases of performing loans, which are meaningfully impacting our earnings, our results this quarter were impacted by market volatility, that made for a difficult trading environment and affected risk of sentiment. Despite rates rallying significantly wider credit spreads negatively impacted fair value of our CRT securities and Legacy Non-Agency MBS. And wider mortgage basis negatively impacted the net fair value of our 30-year Agency MBS and related hedges. Due to our election of the fair value option on CRT securities and 30-year Agency MBS and because we are not applying hedge accounting to the swaps of economically hedged agencies the valuation changes on those positions are recorded in earnings each quarter. The unrealized losses arising on these positions in Q4 drove the $0.06 sequential quarter decline in net income. However, it should also be noted that trading conditions have largely stabilized since year end. And while our January 2019 results are still subject to final management reviews, we have seen a partial recovery in the values of these positions particularly on CRT securities. As a result we estimate that January book value increased over December by approximately 1.5% excluding any adjustment to first quarter 2019 dividends. Please turn to Page 8 where we present additional detail on the key drivers of net income for this quarter, which were as follows. Net interest income this quarter was approximately $3.2 million higher than the prior quarter reflecting continued growth in purchased performing loans. This increase is even more significant when considering the prior quarter net interest income includes approximately $3.4 million of accretion on the early payoffs of Non-Agency MBS that had been purchased for a discount, while the current quarter includes approximately only $0.6 million of accretion on early bond payoffs. As discussed, credit spread widening resulted in lower year-end valuations on our CRT securities, which led to a reduction in unrealized gains on the portfolio. The losses on CRTs contributed roughly $0.04 to the Q4 results. In addition, despite a rally in rates in the fourth quarter, widening mortgage basis resulted in net unrealized losses on 30-year Agency MBS and related hedges contributing negative $0.03 to the Q4 results. Results this quarter also reflects high net gains from sales of residential mortgage securities as we continue to selectively take advantage of market opportunities to manage our mature Legacy Non-Agency and rebalance our CRT portfolio. In addition, we also disposed of certain lower coupon Agency MBS. Further, the results continue to reflect the strong contribution from residential whole loans measured at fair value through earnings. Approximately, 60% of income on these loans for the quarter reflects cash income from coupon receipts and related to loan liquidations. Finally, prior quarter due primarily to the higher loan servicing and acquisition costs associated with loan portfolio growth. And now, I'd like to turn the call over to Gudmundur Kristjansson to provide more details of our investment activity and portfolio performance for the fourth quarter.
Gudmundur Kristjansson: Thank you, Steve. Turn to Page 9. The fourth quarter was another successful quarter for our investments team as we acquired approximately $1.6 billion in the quarter and grew our portfolio by $565 million in the quarter. This is the fifth consecutive quarter of portfolio growth. Most of the acquisitions were focused on the whole loans portfolio, which continues to benefit from our multiyear effort to expand our investment universe to include Non-QM fix and flip and SFR loans. We opportunistically sold $77 million of older CRT securities, which had benefited from strong credit performance as well as $47 million of lower-yielding lower coupon 15-year fixed rate Agency MBS as rates declined at the end of the quarter. Turn to Page 10. 2018 was a strong year for portfolio growth, and a year, when we saw the full benefits of our strategic push into newly originated loans that we began back in 2017. We purchased approximately $5.7 billion of assets in 2018 and grew our investments portfolio by approximately 22% in the year. We doubled our holdings of residential whole loans and REO to approximately $5 billion which now accounts for about 41% of our assets up from approximately 24% at the end of 2017. The large growth in whole loans was largely attributable to our strategic push into Non-QM fix and flip and SFR loans began in 2017 and really took off in 2018 when we acquired in excess of $2 billion across these loan products compared to approximately $100 million in 2017. We're glad to see our effort to introduce new loan products bear fruit and expect that they will continue to add meaningfully to our portfolio going forward. Turn to Page 11. Despite over three years of rising rate and nine Fed Fund increases MFA's net interest rate spread on interest-earning assets has remained steady and attractive. This is the result of our thoughtful and adaptive investment strategy, which is focused on acquiring credit-sensitive assets and benefit from positive credit fundamentals as well as emphasizing assets in short duration with either through a floating rate coupon or rapid repayment of principal have supported our portfolio performance in a rising rate environment. Also importantly, the rise in funding costs has been mitigated with strategic uses of interest rate swaps and the terming out of fixed rate whole loan financings through securitizations of which we currently have about $660 million outstanding. Turning to Page 12, where we share the yield, cost of funds and spreads for our holdings, as well as the equity allocated to each asset class. As we can see, our largest equity allocation is towards whole loans of carrying value with yield at 5.67% in the quarter. The leverage on our whole loans increased modestly to 1.2 times in the quarter, and we expect to continue to utilize more leverage there as the flow of newly originated loans expense. Turn to Page 12, sorry turn to Page 13. Here we review MFA's interest rate sensitivity. Our asset duration changed little in the quarter and remained relatively low at 164 basis points at the end of the quarter. We added $580 million of interest rate swaps in the quarter to hedge some of the growth we've experienced in the newly originated loans. In addition, we also show our securitized debt as part of our hedging instrument as these fixed rate nonrecourse borrowings essentially term out and lock in our funding cost similar to what interest rate swaps and term repos would do. Our net duration remains relatively low and measured 96 basis points at the end of the quarter. On this slide, we've also added the table to the right, showing our portfolio sensitivity to parallel changes in interest rates. For 100 basis points parallel increase in rates, we will expect our portfolio to decline by approximately 1.2% or about 4.3% of MFA's equity. As we can see, due to our low asset duration, low leverage, and preference for credit-sensitive assets MFA's interest rate sensitivity remains low, both as measured by net duration, as well as estimated change in portfolio value for parallel shift in interest rates. Turning to Page 14. MFA's investment and risk management strategy continue to limit quarterly book value fluctuations through various market conditions. In one of the most volatile quarters in recent memories where rates declined significantly, and credit and mortgage spreads widened substantially, MFA's book value held reasonably well and declined by a modest 4% in the quarter. As we can see on the graph on this page, since 2014 MFA's quarterly book value changes have been modest, with an average quarterly book value change of less than 2% and a largest book value decline of 4%. As before, we continue to believe that by consistently protecting book value, MFA will have the same power to take advantage of new opportunities as they arise. With that, I'll turn the call over to Bryan who will discuss our credit investments in more detail.
Bryan Wulfsohn: Thank you, Gudmundur. Although we saw market volatility in the fourth quarter, the economy and housing fundamentals continue to benefit mortgage credits. The CoreLogic National Home Price Index is up 4.7% in December from the year ago. Home price growth has been normalizing after an extended period of significantly outpacing CPI. While we benefit from outsized home price growth, our investment strategy does not depend on it. The unemployment rate was 3.9% in December and 4% in January. The increase in recent months was a result of people reentering the labor force. In addition, we continue to see a steady march hire in the number of people employed as a percentage of the working age population. We continue to see slight increases in housing inventory. Overall levels are historically low on a nationwide basis. We believe, these low levels of supply will support further home price growth. According to the latest release from the New York Fed, the reported 90-plus day mortgage delinquencies are down to pre-crisis level of around 1%. Turning to Page 16. We are pleased to report that our investment team has sourced over $1 billion residential whole loans in the fourth quarter and over $3 billion for the year. Majority of the growth in 2018 came from our investment in newly originated loans. This loan supply was robust last year with almost $80 billion in supply and we expect volumes in that space to moderate in 2019. And the performance of our seasoned portfolio continues to outperform our expectations at the time of the purchase. Again, as a reminder, our whole loans appear on our balance sheet on two lines: loans held at carrying value $3 billion; and loans held at fair value $1.7 billion. This election is permanent and is made at the time of acquisition. Typically, we elect carrying value for our purchased performing loans and reperforming loans and fair value for nonperforming loans. Turning to Page 17. Our RPL portfolio continues to perform well. 86% of our portfolio is less than 60 days delinquent. In addition, although 14% of the portfolio is 60 days delinquent or greater almost 30% of those loans have been making payments over the last 12 months. We are happy to see prepayment speeds coming faster than our expectation as the portfolio was purchased at a substantial discount to par. We could see speeds remaining in this range as our borrowers gain access to new financing options as a result of improving credit. Turning to Page 18. We believe our asset management team's oversight of servicing decision and active management of the portfolio produces better economic outcomes. The team has worked in concert with our servicing partners to more quickly get loans to reperform as well as limit and reduce timeline to resolution. This slide shows the outcomes for loans that were purchased prior to December month-end 2017 therefore owned for more than one year. 32% of loans that were delinquent at purchase are now either, performing or paid in full and 38% are either liquidated or REO to be liquidated. And 30% are still in nonperforming status. We are very pleased with our performance. Since modification is over 76% our modifications are either performing or are paid in full. These results continue to outperform our initial expectations. Turning to Page 19. We have been successful in adding to our portfolio of newly originated loans that do not meet the Qualified Mortgage definition as defined by the CFPB. A variety of different loan types can be considered Non-QM ranging from structural features such as interest-only period or a term greater than 30 years to the way income is documented such as the use of bank statements for self-employed borrowers or loans of higher debt to income ratios and so on. We believe the underwriting of these loans is prudent. The portfolio has a weighted average loan-to-value of 65% and a cycle of over 700. To date we have acquired over $1.8 billion of UPB including approximately $400 million so far in 2019 and continue to work with our origination partners on strategic relationships. We are encouraged by the growth of the asset class as our origination partners saw significant volume growth last year. Leverage is attainable through warehouse lines and securitization. The securitization market for these assets is still in nascent stages as volumes more than tripled last year from $4 billion in 2017 and could experience significant growth again in 2019. We target asset yields of approximately 5% and an ROE of low double digits utilizing appropriate leverage. And now I'd like to turn the call back over to Gudmundur to walk you through our fix and flip and SFR loans.
Gudmundur Kristjansson: Thanks Bryan. Turning to Page 20. Our acquisitions of business purpose loans continue to expand in the fourth quarter as we added new relationships and work to expand existing ones. Since we started acquiring business purpose loans at the end of 2017, we have acquired approximately 4400 loans with over $900 million in UPB and undrawn commitments. We are excited about our progress and we'll continue to work towards expanding our acquisitions of business purpose loans in 2019. During the fourth quarter our holdings of fix and flip loans grew by approximately $170 million to $495 million UPB with additional undrawn commitments of $50 million at the end of the quarter. Credit metrics and performance continues to be strong and our target yield for this asset class is around 7%. Our holdings of SFR loans grew by $65 million in the quarter to $145 million at the end of the fourth quarter. Similar to the fix and flip loans credit metrics and loan performance continues to be strong. Our target yield for SFR loans is around 6%. With that, I'll turn the call over to Craig for some final comments.
Craig Knutson: Thank you, Gudmundur. So in summary, we remain very active in the investment market. We purchased over $5.7 billion of assets in 2018 and grew our portfolio by over $2.2 billion. This growth in our portfolio has resulted in materially higher net interest income in the second half of 2018 and we expect further such increases in 2019. While we've made excellent progress in growing our asset base we still have substantial capacity to continue to increase our investments by adding leverage to our balance sheet. This concludes our prepared remarks. Tony, would you please open up the call for questions?
Operator: Certainly. Thank you very much. [Operator Instructions] Our first question will come from Doug Harter with Credit Suisse. Please go ahead.
Doug Harter: Thanks. I was hoping you could talk a little bit about the relationships you have on the business purpose loans and the Non-QM side. Any color as to kind of the volume expectations you expect or anything. Are these exclusive relationships just some more color about these relationships you've built?
Craig Knutson: Sure. Thanks for the question Doug. So as we've said before we have multiple relationships. They're typically not exclusive relationships. And for competitive reasons we've declined to discuss the specific partners that we've that we partnered with. But it's multiple partners across multiple products. It's typically not exclusive. But I think we're in many cases we're a significant if not majority purchaser of the production.
Doug Harter: Understood. And then you guys talked about the ROE you expect to get on Non-QM. Can you just sort of compare that? You have the target yields look higher on the business purpose loans. Can you just talk about what the leverage opportunity there is and how the ROEs would compare on those?
Bryan Wulfsohn: Yes. I mean the leverage you can obtain through Non-QM loans is probably a bit higher versus business purpose loans. And therefore the ROEs can be comparable. The ROEs are probably are higher on the business purpose side. It's just a question of how much production can you source. We're very happy with what we've gotten and would like to grow that portfolio. And we think we're doing so appropriately.
Doug Harter: And I guess just one last. I guess, how would you compare kind of the duration of those assets? How long you expect them to sort of remain on your book if you compare a Non-QM versus the business purpose loans?
Bryan Wulfsohn: Sure. So Non-QM given where speed expectations are today, you're probably around like a 3-year asset and business purpose loans are plus or minus a year asset maybe even shorter. So Non-QM is a bit longer than the business purpose side.
Gudmundur Kristjansson: And so on the business purpose, I mean, so the fix and flip, we expect them to have an average life of anywhere probably around nine months from the like so turnover quickly as Bryan said. But the SFR loans are going to be similar to the Non-QM loans in terms of average life of duration.
Doug Harter: I appreciate all your interest. Thank you.
Operator: Thank you. The next question in queue that will come from Eric Hagen with KBW. Please go ahead.
Eric Hagen: Thanks, good morning guys. I guess, maybe I was a little surprised to see such a strong quarter for realized gains on the loan sales. Just given the widening credit spreads that we saw weaker asset prices during the quarter, can you just maybe shed some light on what drove the sales and maybe even just the timing of when you completed those?
Craig Knutson: Sure Eric. Thanks for the question. Suffice to say, we weren't selling those assets in the last few weeks of the year because the market was in somewhat disarray. So had we not made some of those sales the book value number could possibly have been a little bit lower? I wouldn't say it was a targeted or a premeditated strategy. I think our approach in both the legacy book and the CRT book has been consistent for not for quarters but almost for years. I think in the legacy book in particular it's a very mature portfolio right? The -- it’s '05 '06 '07 production. So the youngest bonds there are 12 years old. And so part of it is just it's just sort of a rigorous portfolio trading strategy where we're selling bonds that get up to high dollar prices in the mid high-90s where there's really no further room for credit improvement and price depreciation. So that's one. Two is, we're selling bonds in some cases at a premium. They are callable, which obviously is a smart strategy. And then the third is, while these were mostly round lot positions initially as they pay down and factor down many of them become odd-lot in nature or the bonds are of very low loan count. And a low loan count bond is subject to monthly fluctuation if you get a bad print right. If you one loan that's been in foreclosure for two years and it liquidates at a really high loss severity it could have a profound impact on the price of that bond. So, it's really just a constant strategy of calling the portfolio. If a bond trades in the marketplace in a round lot and we have an odd lot we can may be tack that on and get a round lot execution. So it's a variety of things but it's the numbers that come out the realized gains are really are a function of the fact that we bought them at all low dollar prices. So any time we sell them we typically have a big gain.
Eric Hagen: That's really helpful color. Maybe I can just press you guys a little bit for your assumptions or just some color around the Non-QM strategy. I mean, what's the cumulative default rate that you expect on some of those the pipeline of originations there?
Bryan Wulfsohn: So again, QM defaults we're looking at somewhere in the order of 100 to 200 basis points and the losses are really low. I mean, if you look at the portfolio the weighted average LTV is 65%. So we're talking about a lot of protection again to any movement in home prices if loans were to go back.
Eric Hagen: Yes that makes sense. Okay great. Then an accounting question just kind of bigger picture stuff. How was CECL, how should we think about CECL and the impact that that could have on some of the accounting behind the loans that I guess you would hold at carrying value would be maybe the ones that are affected there? Can you just give us some color as to how you're thinking about CECL and the impact there, when it takes effect I guess about a year?
Stephen Yarad: Yes. Sure Doug thanks. This is Steve. We are currently looking at CECL and implementing for that new standard. As you noted, it becomes live in 2020. And you're right. The impact that it will likely have on our portfolio is with some of our loan product because really on those carrying value loans as Bryan mentioned way those loans that we really have acquired them now low LTVs we don't we see some default risk but severity to protect will be low and those loans are very well protected. So right now, we don't really have much in the way of loan loss reserves on those loans. Under CECL you have to look at those on a life of loan basis rather than what's incurred today under the current accounting. So we're looking at that. We're looking at implementing a methodology to cancel loan losses for those loans under CECL, still going through that in the early stages. But we would expect possibly some additional loan loss reserves under CECL than what we would cancel today under the current accounting standards but too little to know until we sort of quantify that because we're just not far enough into it at this stage.
Eric Hagen: Got it. But I think it's fair to say that the LTV in your portfolio is still low. That provision that you're talking about taking would really be fairly modest at the end
Stephen Yarad: That's right. That's what we would expect at this stage.
Eric Hagen: Got it. Thank you. That’s really helpful color.
Stephen Yarad: Thanks, Eric
Operator: Thank you.[Operator Instructions] Our next question will come from Steve Delaney with JMP Securities. Please go ahead.
Steven Delaney: Good morning everyone. Thanks for taking the question. Craig you talked about the relationships that you've developed with strategic partners, primarily on the origination side but I know on the special servicing side a little bit too. I'm just curious if you've made any equity investments small investments but try to help solidify those relationships or support the growth of any of those platforms? And if you haven't is that something that you would consider doing in the future? Thanks.
Craig Knutson: Sure Steve. Thanks for the question. The short answer is yes, we have made minority equity and/or preferred stock investments. However, I think as you point out investment amounts are not material to our financial statements. So we've not provided specific detail about them. And also for competitive reasons, we prefer to discuss our origination partners in general rather than specifically. Different originators have diverse needs, and objectives, and we think we've been able to consider various arrangements that address these unique desires. Our objective is not really to develop a conduit here but to rather to form meaningful partnerships with a finite group of originators that we can assist in growing their franchise volume and profitability.
Steven Delaney: That's helpful. And I certainly understand the need for confidentiality there and the fact that you have something to offer them in terms of a much lower cost of capital than they would have standalone. So my second point obviously a quarter that had noise in it for everyone. I guess, what I'm thinking, when I hear your comments about the more straightforward accounting for interest income on the various whole loan portfolios, and thinking about where we might be in a year or so versus where we've come from and there was a lot of more complex accounting with respect to discounts and credit on the legacy RMBS. What I'm really getting at is, as that mix changes, would you consider adding some new disclosure in terms of your earnings, which would lead us to something akin to a core EPS disclosure and so you'd be able to take the fair value noise out of your reported earnings?
Stephen Yarad: Steve, thanks for the question. It's Steve Yarad. I think, you should bring that up because it is something that we do talk about here internally regularly. We're probably one of the few mortgage REITs who don't have a sort of core income concept in their reporting. And it's true that, our GAAP earnings which we've sort of used and exclusivity reported on that for a number of years does suffer a little bit from quarter-to-quarter with some noise on some of the accounting elections we've made in the past. So now that's something that we have thought about, and potentially would think about making some changes depending on how our portfolio continues to evolve in the future.
Craig Knutson: Steve, it's a timely question. As Steve said, we have started to talk about that. You probably remember, we actually did have a core concept many years ago around linked transactions on Legacy Non-Agencies.
Steven Delaney: Yes.
Craig Knutson: But yes, it’s suffices to say, it's under consideration.
Steven Delaney: Okay great. And then Craig, I can't not ask this, just because of the amount of activity. I think through this week we've had 12 follow-on offerings from mortgage REITs and all but one was from a residential-focused company. Just curious on your view of the capital markets. And what we hear from these companies is almost all this new equity is being targeted to Agency MBS. That clearly isn't your focus. So I guess, I'm thinking, as you look at the market opportunities, is that agency opportunity attractive enough that it would you guys lead you guys to consider another capital markets transaction following up on your offering last summer? That's my last one.
Craig Knutson: Sure Steve. So obviously we've seen the many follow-on equity issuances since the beginning of the year. I think because MFA is internally managed our rationale for issuing additional equity is perhaps more simple than for externally managed entities. Future capital structure decisions are motivated by what's in the best interest of the company shareholders and all shareholders. I would just say in general, we would consider issuing additional equity if we felt that we could do so at attractive levels, and if we felt that we had compelling investment opportunities in which to deploy the new capital. As we stated a few times during our prepared remarks, we expect we'll be able to fund near-term expected portfolio growth through modestly increased leverage, whether in the form of repo or securitization. But obviously to the extent that circumstances change, we'll reevaluate our options at that time. I think, yes, agencies are wider and you saw that reflected in book value numbers. I'm not sure they're so pound the table cheap that we would sort of alter our strategy and issue equity just to buy agencies at this time.
Steven Delaney: That’s great. Great color. I appreciate all the comments. Thank you.
Craig Knutson: Thanks, Steve.
Operator: Thank you. Our next question will come from Stephen Laws with Raymond James. Please go ahead.
Stephen Laws: Hi, good morning. Like to follow up on Doug and Steve's questions on the Non-QM and business purpose. And I understand the competitive reasons for not disclosing your partners. But, can you provide a little color on the competition? There is a lot of your peers that are targeting these assets as well. How do you see the competition framing up for this? Is it pricing driven? Is it really more you guys are willing to provide underwriting standards and take down significant volume? But can you maybe talk about how you're protecting your pipeline versus others that are looking to become more active in this asset class?
Bryan Wulfsohn: Yes Steve. While we do see there are more market participants evaluating the asset class and would like to get involved. What we are also seeing is, significant growth to the amount of loan origination volume relating to Non-QM. So there's really a lot of room for people to get involved where it won't be so competitive at least we believe to push pricing to uneconomic levels. So that's sort of how we feel about that. I mean, in terms of our existing relationships, they -- we had them for a period of time now. And the way that we're able to source loans, either through flow, or sometimes limited very limited comp, we think that we'll have the ability to continue that, and we're really we're happy to see more people interested in the asset class.
Craig Knutson: And Stephen, I think one other point is, whole loan trades are different than securities trades right. Securities trades it's a CUSIP. It's pretty easy to figure out what the highest number is and you sell it to that guy with the highest bid. When you trade whole loans, it's really a different thing, because there's underwriting and there's sometimes kick outs or repricings. And so, I think with a lot of our origination partners what they've discovered is that we're good counterparty. We work really well together with them. There have been cases where we haven't been the high bid and we win the trade anyway, because they know they have that certainty of closing with us. So there's a lot that goes into it. And it's not all about money. A lot of it's about relationship and just this sort of true partnership of working together with them. But it's a lot of work. It's a lot more work to do that than to buy CUSIPs for sure.
Stephen Laws: Right. And on the financing side, again. This is a follow-up question. Can you talk about, I think, one of at least one of your competitors is in Non-QM securitization in Q4. Can you talk about what the opportunities are in the securitization market now kind of given the dislocation? Have things normalized? Or that's something you think you could look at as the market is not stabilized enough yet? And then on the -- similarly on the fix and flip, given the short duration, do you think there's securitization options of CLO or some type of option where there is a manageable period or a replenishment period where do you can do the short duration assets into a longer duration financing? Can you maybe talk about the options and opportunities you see there?
Bryan Wulfsohn: Sure. As it relates to Non-QM, the market for the sale of senior bonds did widen out going into the end of the year, and sort of had stabilized and we're seeing some momentum. Part of that is just adoption of the asset class knowing that there's going to be enough supply to get the attention of the larger money managers to participate. When there's only a few billion of bonds for sale, and people get called upon to take a look at new investment, they may get the reaction is it worth my time? Now that we're seeing the increase in issuance right the money managers are finding okay it is going to be worth my time. And we do see the potential for at least we see stability in spreads and the potential for the spreads to narrow over time.
Gudmundur Kristjansson: And so as it relates to the fix and flip loans, there has been a few public and private securitization or securitization-like structures that have been put together. But there's also a viable weaker financing market. And so from our point of view our intention is to utilize leverage on that asset class over time. And we would simply look at the best option or the best execution from our point of view. Some of the issue with the business purpose loan securitization is the fact that you have to assemble enough size and there's fixed cost involved. And the structure can become somewhat complicated because you have a lot of new ones in the underlying collateral. So in some sense it can be more efficient to simply work with a bank or a repo provider and do that without the noise of having to basically show the market what's going on and convince people of the quality of the underlying collateral even though it's quite solid. So we evaluate both options and our intention is to use leverage over time.
Craig Knutson: And Stephen I'd just add one thing on the fix and flip side. There have been a few deals not many just a handful of deals. And most recently, there were one or two deals that had this collateral concept where you could top up the collateral. But they're pretty new and the spreads are pretty wide. And I think, probably the best indication of what we felt about that is leverage is, we were actually a buyer of the senior bond in size of one of those deals. So I think, we view that at least the current pricing we'd probably rather buy that assets and use that as a liability. But as Gudmundur said obviously the expectation is over time that will probably change.
Stephen Laws: Great. That commentary is great. I appreciate it. Thanks for taking my questions.
Craig Knutson: Thanks, Stephen.
Operator: Thank you. At this time there is no additional questions in the queue. Please continue.
Craig Knutson: All right. Thanks everyone. We’ll look forward to speaking with you next quarter.
Operator: Thank you. Ladies and gentlemen this conference will be available for replay after 12 noon Eastern Time today, running through May 21 at midnight. You may access the AT&T Executive replay at any time by dialing 800- 475-6701 and entering the access code of 464138. International parties may dial 320-365-3844. Once again those phone numbers, are 800-475-6701 and 320-365-3844 using the access code of 464138. That does conclude your conference call for today. We do thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.